Operator: Thank you for joining the Greenlight Re Conference Call for Third Quarter 2016 Earnings. Joining us on the call this morning are David Einhorn, Chairman; Bart Hedges, Chief Executive Officer and Tim Courtis, Chief Financial Officer. The Company reminds you that forward-looking statements that may be made in this call are intended to be covered by the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are not statements of historical facts, but rather reflect the Company's current expectations, estimates and predictions about future results and events and are subject to risks, uncertainties and assumptions, including those enumerated in the Company's Form 10-K dated February 22, 2016 and other documents filed by the Company with the SEC. If one or more risks or uncertainties materialize or if the Company's underlying assumptions prove to be incorrect, actual results may vary materially from what the Company projects. The Company undertakes no obligation to update publicly or revise any forward-looking statements, whether as a result of new information, future events or otherwise. I would now like to turn the conference over to Bart Hedges. Please go ahead sir.
Bart Hedges: Good morning and thank you for joining us today. In the third quarter of 2016 Greenlight Re generated profit from both underwriting and investing. Overall our fully diluted adjusted book value per share increased by 4% from the prior quarter-end to $22.04. Our combined ratio for the third quarter of 2016 was 99.4%. Made good progress this quarter on writing new business and renewing select contracts. New business came in the area of US mortgage reinsurance and nonstandard automobile. Despite the difficult market conditions, our team has been able to unearth new business opportunities to keep the pipeline full. We continue to be pleased with the performance on non-standard automobile, which is our largest concentration of business. Recent reporting and conversations with our Partners indicate that despite increasing claims frequency, a trend generally attributable to more miles driven, our Partners have been able to keep pace with the underlying increases of losses by filing for frequent rate changes. Recall that nonstandard automobile insurance contracts are typically six months in duration, as opposed to standard personal automobile contracts which are typically 12-months. The shorter-duration contracts covered in our nonstandard automobile portfolio mean that rate changes impact earned premium more quickly than in a portfolio of standard automobile policies. This quarter we concluded a novation of the contracts covered by the loss portfolio transaction we discussed last quarter. The novation means that our counterparty in the loss portfolio transaction now faces the insured directly. There was no income statement impact during the quarter due to this change. Tim will provide more details on the impact of the transaction. Just after quarter end, Hurricane Matthew threatened widespread damage to the eastern coast of the United States. But in the end, the storm moved slightly east and decreased in intensity sparing large insured losses. We are still in the process of estimating our covered losses, but initial conversations indicate that the loss will be immaterial. We benefited from the fact that earlier this year, we did not renew several Florida homeowner's quota share contracts which would've otherwise increased our loss from the event. Regarding our property catastrophe aggregates, our maximum exposure to a single event is currently $154.3 million and our maximum exposure to all events is $216.5 million. Both of which are relatively unchanged from the prior quarter end. Overall, our in-force book of business continues to perform well and produce underwriting profits and adequate risk-adjusted returns and I'm pleased with our new business production. The team is now preparing for January 01, renewals which will be gearing up in November and December. Subsequent to the quarter-end, we were disappointed with the recent announcement from A.M. Best that our rating has been revised from A negative outlook to A minus stable. Rationale for the rating change pertained to our underwriting performance and overall return relative to expectations. While the rating revision is likely to make new business production incrementally more difficult, we don't believe that our current book of business is particularly rating sensitive. And we believe our strong relationships with our Partners will allow us to maintain our high renewal retention ratio. Our team is as deep and tested, our relationships with our Partners and our capital position are strong and the future remains bright for Greenlight Re. Now, I would like to turn the call over to our Chairman, David Einhorn, to discuss our investment results and the progress in Greenlight Re's overall strategy.
David Einhorn: Thanks, Bart, and good morning, everyone. The Greenlight Re investment portfolio returned 3.1% in the third quarter, bringing the year-to-date return through September 30 to 2.1%. Our long portfolio added 8% in the quarter while, the short portfolio detracted 4.1%, macro positions were essentially flat. Chemours, a position we spoke about on our last call, was our biggest winner during the quarter. The rising price of titanium dioxide enabled better pricing in the company's titanium technology segment. In addition, concerns related to legacy legal liabilities of its teflon manufacturing eased. While the stock advanced from $8.24 to $16 during the quarter, we see further upside as the Company is on track to earn over $2 in 2017 and to approach $3 in 2018. CONSOL Energy was our second biggest contributor, as tightening supply in the thermal coal market and strong drilling results helped the company improve its recent strong operating results. Additionally, the recovery in natural gas prices this year has enabled drilling to be brought back online sooner than expected. Even with the strong performance year to date, we believe the stocks only trading about half the value we see value we see for the company. Apple was also a positive contributor, as the iPhone 7 product launch was well received. Apple is on track to earn over $9 in fiscal 2017 and $10 in 2018. It will be one of the largest benefactors of the tax repatriation deal next year. We continue to be short a few oil frackers. Pioneer Natural Resources advanced over 20%, despite reporting another money-losing quarter. The company has made statements claiming that its operating costs have been reduced to a level that is competitive with Saudi Arabia, the cheapest oil producer in the world. We've investigated and can't find anyone who supports Pioneer's claims. Continental Resources, another oil fracker, recently boasted that it can earn over a 100% rate of return by investing to complete unfinished wells. The company appears to be excluding a large amount of sump costs of drilling these wells in the first place. We see little that either Pioneer or Continental will be able to drill oil profitably without a significant rebound in the price of forward oil, which was flat in the quarter and has been flat for the past year. However over the past year, the stock prices of Pioneer and Continental have advanced 53% and 79% respectively. During the quarter, we established a new medium size long European position in the utility sector, and we exited a large position in Vodafone and a medium-sized position in Evonik. In addition to the oil frackers, we remain short Athena Health, which recently missed revenue estimates and admitted it would no longer be able to achieve 30% bookings growth this year. Our analysis suggests that bookings are barely up at all. Even with the stock's deep decline, it continues to trade at almost 60 times current year earnings, which are non- GAAP and exclusive of stock expense related compensation. Without this, the company would have minimal earnings to speak of. We also remain short Caterpillar where management has guided down earnings or revenue estimates on each of the last six quarterly updates, and we continue to believe that it will not reach trough earnings until at least 2018. The investment portfolio returned 1.7% in October, and was 95% long and 73% short at the end of last month. We are disappointed in the downgrade of our rating by A.M. Best. We have struggled with several contracts in runoff that had caused our rating to be put on negative watch. We recently novated the problem contracts with significant remaining exposure, but unfortunately it seemed too late for A.M. Best. Although we are fully cognizant that all results count, our underwriting record in a soft environment has been reasonable if we exclude the few contracts in question. We'll obviously strive to improve on our results, and believe we have no additional areas of significant loss degradation. Now I'd like to turn the call over to Tim to discuss the financial results.
Tim Courtis: Thanks, David. For the third quarter of 2016, Greenlight Re reported net income of $30 million compared to a net loss of $219.7 million for the comparable period in 2015. The fully diluted net income per share was $0.80 for the third quarter of 2016 compared to a net loss per share of $5.98 in the prior-year period. For the nine months ended September 30, 2016, we reported a net loss of $4.3 million compared to a loss of $283.3 million for the first nine months of 2015. The net loss per share was $0.12 for the nine months ended September 30, compared to a net loss of $7.73 per share for the same period in 2015. Gross premiums written during the third quarter of 2016 were $128.2 million compared to $134.6 million during the third quarter of 2015. A slight decrease is primarily the result of lower premium estimates on multi-line casualty contracts, and as Bart mentioned, the non-renewal of certain Florida homeowners quota share contracts earlier this year. Gross premiums written were $387.2 million for the nine months ended September 30, 2016, an increase of approximately 8% from gross premiums written of $357.2 million during the first nine months of 2015. The increase in premiums written is primarily the result of new mortgage insurance business and increased premiums on our non-standard automobile business, which was partially offset by premium decreases due to our exit from certain Florida homeowners contracts. Our net earned premiums for the first nine months of 2016 increased by approximately 30% to $376.5 million when compared with premiums earned during the same period in 2015. This significant increase in earned premium is the result of premium writings during 2015, and to a lesser extent, the premium increases reported to date in 2016. The composite ratio for the third quarter of 2016 was 95.1% which is inline with our expectations for our current underrating portfolio. For the first nine months of 2016, our composite ratio was 101.9% compared to a composite ratio of 111% during the same nine month period in 2015. As noted on our last call composite ratio was negatively affected in the second quarter by the impact of transferring the business that contained construction defects exposures to a runoff specialist. During the third quarter we completed a transaction with the runoff specialist that transformed the loss portfolio transfer into a novation. While there was no direct economic impact from this transaction, it places the runoff specialist as a reinsurer of the insured which eliminates any credit risk that we had to the runoff specialist under the loss portfolio transfer. Additionally, Greenlight Re no longer needs to post collateral to the insurance company, thereby reducing the amount of collateral outstanding and the cost related thereto. Total general and administrative expenses incurred during the first nine months of 2016 increased slightly to $18.9 million compared to $18.4 million incurred during the prior year period. Underwriting expenses of $12.9 million for the first nine months of 2016 were higher compared to $11.3 million incurred in 2015 primarily as a result of higher accruals for quantitative bonuses due to the positive performance of our 2013 and 2015 under-writing years. The underwriting expense ratio for the first nine months of 2016 was 3.4% resulting in a combined ratio of a 105.3% for the year to-date. Our corporate expenses of $6 million for the first nine months of 2016 compares to $7.1 reported during the same period in 2015 with the reduction being attributable to certain non-reoccurring professional fees incurred in 2015. We reported net investment income of $32.9 million during the third quarter of 2016 reflecting a net gain of 3.1% on our investment portfolio. For the first nine months of 2016, we reported net investment income of $23.3 million reflecting a net investment gain of 2.1%. Fully diluted adjusted book value per share as of September 30, 2016 was $22.04 a 5.4% decrease from $23.29 per share reported at September 30, 2015. I’ll now turn the call back to Bart to provide some concluding remarks.
Bart Hedges: Thanks Tim. Our goal at Greenlight Re is to build long-term shareholder value by running a concentrated underwriting portfolio with the best risk-adjusted returns we can find, and to utilize the float generated to invest in our value-oriented long short investment program. This investment approach has historically generated superior returns with less volatility than the overall equity markets. We will continue to execute on this strategy, and remain focused on driving our key yardstick increase yardstick increase and fully diluted book value per. We appreciate your continued confidence in Greenlight Re. Thank you again for your time, and now we would like to open up call for questions.
Operator: Thank you sir. [Operator Instructions] Our first comes from Bob Glasspiegel with Janney. Please go ahead.
Bob Glasspiegel: Good morning, Greenlight. Remind me what your threshold for materiality is on your Matthew commentary?
Tim Courtis: Bob this is Tim speaking. Obviously, materiality is a GAAP accounting concept. Certainly our – when we look and what we've heard back from our Partners given that the areas where we play in, there could be some attritional losses to certain quota share contracts that we cover but those attritional losses would be in part embedded in the reserving that we do on a day-to-day basis. So the ultimate loss that we would be reporting in the fourth quarter from Matthew on a go-forward basis is exceedingly low. That is the current prediction, and obviously as we get additional reporting from [indiscernible] we’ll have to analyze that and obviously update next quarter.
Bob Glasspiegel: Okay. Congratulations on your homeowners decision. That was well-timed. On your downgrade, which is obviously disappointing, is there a possible silver lining that you can start to consider capital management and buyback? You are one of the few reinsurers that's had one arm behind your back, and not been able to use that lever because of concern about the A.M. Best watch. Now that you are freed from the watch, can we now look at that as a possibility? Should the stock be below intrinsic value in your mind?
David Einhorn: This is David the answer is yes.
Bob Glasspiegel: Okay. Well I got you, David, any thoughts on how you position the portfolio relative to the election? Does it matter to any of your holdings?
David Einhorn: I'm sure it matters to a lot of the holdings. It is not clear what it matters to the portfolio as a whole, however.
Bob Glasspiegel: So you have not made any tactical moves – excuse me.
David Einhorn: The portfolio is a mix of longs and shorts, and I'm sure various of the securities will be impacted in different ways based upon whatever the outcome of the election is.
Bob Glasspiegel: But you didn't make a tactical moves in the election like some of your other managers have done?
David Einhorn: No
Bob Glasspiegel: Last question, BI severity has been hitting some auto companies in the third quarter. You mentioned frequency and you are ahead of pricing. Did any of your client companies see that trend yet?
Bart Hedges: Bob this is Bart. We have been watching the non-standard automobile space closely for this, and there certainly has been an uptick in claim frequency in particular in BI. And we think a lot of it is driven by the miles driven, the lower gas prices and higher miles driven. But as I said, in the portfolio, it's a good thing for us to be in the non-standard world because the six-month policies allow you to get rate changes into the flow of the premium more frequently. So while they've been experiencing the uptick, I think they've been doing a great job of keeping up with it.
Bob Glasspiegel: Thank you.
Operator: [Operator Instructions] This concludes our question-and-answer session. Should you have any follow-up questions please direct them to Garrett Edson of ICR at 203-682-8331 and he will be happy to assist you. We also remind you that a replay of this call and other pertinent information about Greenlight Re is available on our website at www.greenlightre.ky. This concludes today's call.